Operator: Good day, and thank you for standing by. Welcome to the Frontier Group Holdings Quarter 3 2025 Earnings Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, David Erdman, Senior Director of Investor Relations. Please go ahead.
David Erdman: Thank you, and good afternoon, everyone. Welcome to our third quarter 2025 earnings call. On the call with me in speaking order are Barry Biffle, Chief Executive Officer; Jimmy Dempsey, President; Bobby Schroeter, Chief Commercial Officer; and Mark Mitchell, Chief Financial Officer. Each will deliver brief prepared remarks, but before they do, I'll recite the customary safe harbor provisions. During this call, we will be making forward-looking statements, which are subject to risks and uncertainties. Actual results may differ materially from those predicted in these forward-looking statements. Additional information concerning risk factors, which could cause such differences are outlined in the announcement we released moments ago, along with reports we file with the Securities and Exchange Commission. We'll also be discussing non-GAAP financial measures, actual results of which are reconciled to the nearest comparable GAAP measure in the appendix of the earnings announcement. And as well, we'll be talking about stage adjusted unit metrics, which are based on 1,000 miles. So I'll give the floor to Barry to begin his prepared remarks. Barry?
Barry Biffle: Thanks, David, and good afternoon, everyone. We delivered third quarter results per share at the midpoint of our guidance range, demonstrating disciplined execution as we navigated competitive fare pressures and excess peak capacity through the rigorous cost management. Operationally, our performance was noteworthy in September and October, ranking third and fourth, respectively, in completion factor among domestic carriers, underscoring our reliability and operational strength. Looking ahead, the competitive landscape is shifting in our favor. With our largest low-fare competitor significantly reducing capacity, we anticipate a more balanced supply-demand environment. This positions us to accelerate key commercial initiatives aimed at driving RASM growth and reinforcing our competitive advantage. Our strategy remains clear: to be the leading low-fare carrier in the top 20 U.S. metros. We are leveraging enhancements to our loyalty program and upgraded product offerings, including the rollout of first-class seating by spring, an important milestone in elevating customer experience and revenue opportunities. At the same time, we will continue to aggressively manage costs to preserve our industry-leading cost advantage, which is central to delivering sustainable margin improvement. I want to thank our 15,000 Team Frontier members, including pilots, flight attendants, mechanics, airport staff and more, whose dedication enables us to deliver the exceptional service and execute on our strategy every day. I'll now turn the call over to Jimmy for commercial review. Jimmy?
James Dempsey: Thanks, Barry, and good afternoon, everyone. In the third quarter, total revenue was $886 million on 4% lower capacity year-over-year. Revenue per passenger rose to $106, up 1% from the prior year, supported by an 81% load factor, nearly 3 points higher than last year. RASM was $0.0914 and stage-adjusted RASM improved 2% year-over-year to $0.0876, reflecting disciplined capacity deployment. For the fourth quarter, we expect capacity to be roughly flat year-over-year with an average stage length of approximately 890 miles. Importantly, competitive seat capacity is projected to decline by 2 percentage points, including significant reductions by Spirit Airlines, which is exiting 36 overlapping routes and reducing frequencies by 30% across 41 others in December. This dynamic should drive sequential improvement in stage-adjusted RASM and supports our confidence as we plan for 2026. We expect to return to growth next year given the developing competitive landscape, and we'll provide formal 2026 capacity guidance on our next earnings update. To capitalize on emerging opportunities, we announced 42 new routes launching through early 2026, expanding our presence in major metro areas such as Atlanta, Baltimore, Charlotte, Chicago, Dallas-Fort Worth, Detroit, Fort Lauderdale and Houston, along with new international destinations, including Guatemala, Honduras, Mexico, Turks and Caicos and the Bahamas. These additions reinforce our commitment to scale and strengthen our network. Finally, I'm pleased to welcome Jeff Matthew as our new Chief Information Officer. Jeff brings deep experience leading large-scale IT organizations and will accelerate our digital transformation, enhancing customer engagement and driving efficiency. I'll now hand it over to Bobby to provide a brief loyalty update.
Robert "Bobby" Schroeter: Thanks, Jimmy. The significant investments in our loyalty assets, including Frontier Miles, our co-brand credit card, Go Wild Pass and Discount Den generated approximately $7.50 in revenue per passenger in the third quarter, up more than 40% year-over-year, driven by enhancements that resonate with higher income, higher credit customers. Frontier Miles now offers the most attainable elite status in the industry with meaningful benefits like premium seat upgrades, free bags and unlimited companion travel. We've expanded redemption options through miles for bundles and improved boarding for our most loyal customers. In addition, cardholders received 2 free check bags, a benefit we introduced last year that has been very well received, and we recently introduced free companion passes with the credit card. These initiatives are fueling engagement and position us to double loyalty revenue per passenger over time, creating a durable high-margin revenue stream. I'll turn it over to Mark now for the financial update.
Mark Mitchell: Thanks, Bobby, and good afternoon, everyone. Recapping our cost performance during the third quarter. Our nonfuel operating expenses were $729 million, down 6% sequentially, driven largely by fleet impacts associated with spare engine inductions and related sale-leaseback financing gains. The increase in nonfuel expenses over the prior year quarter was primarily related to a onetime $38 million nonrecurring credit tied to a legal settlement recognized in the 2024 quarter and fleet-related growth. On a unit basis, adjusted CASM ex fuel in the third quarter was $0.0753, 9% higher year-over-year due largely to a 15% reduction in aircraft utilization resulting from our disciplined capacity deployment primarily on off-peak days. Fuel expense was $234 million, down 10% year-over-year, driven mainly by a 5% decrease in the average fuel cost, 4% lower capacity and slightly higher fuel efficiency. We generated 105 ASMs per gallon in the quarter, 2% higher than the corresponding '24 quarter. Third quarter net loss was $77 million, including $1 million of tax expense, resulting in a net loss per share of $0.34 at the midpoint of our guidance. We ended the quarter with $691 million in total liquidity, in addition, post quarter end, we issued a $105 million par value note in a private placement that is secured by substantially all of the spare parts and tooling related to our fleet of A320 family aircraft. The note matures in 2032. Pro forma for this transaction, liquidity on September 30 was approximately 21% of trailing 12 months revenue. Briefly recapping fleet activity during the quarter, we took delivery of 2 A321neo aircraft, both financed with sale-leaseback transactions, bringing our total aircraft fleet to 166 at quarter end. We expect another 10 aircraft deliveries in the fourth quarter, our largest quarterly allocation of the year, comprised of 7 A320neos and 3 A321neos, of which all have committed sale-leaseback financing. Following the agreement with Pratt executed in July, we took delivery of 6 GTF spare engines in the third quarter, all of which were financed with sale-leaseback transactions. We expect to take delivery of another 10 GTF spare engines in the fourth quarter, which we also expect to finance with sale-leaseback transactions. Turning to guidance. As provided in this afternoon's announcement, we expect fourth quarter adjusted earnings between $0.04 and $0.20 per diluted share on capacity, which is expected to be roughly flat year-over-year. The average all-in fuel cost is expected to be $2.50 per gallon, which is $0.09 higher relative to the prior quarter forward curve indication. Our fourth quarter guidance reflects an expected improvement in competitive overlap capacity versus the prior year quarter, continued progress across key commercial initiatives, fleet-related financing activities and jet fuel prices, which are elevated relative to the prior quarter guidance expectation. Lastly, we do not expect a material tax provision in the fourth quarter due to a cumulative tax loss carryforward, which will largely offset any tax expense. Thanks again, everyone. And operator, we're ready to begin the Q&A segment.
Operator: [Operator Instructions] Our first question comes from Ravi Shanker of Morgan Stanley.
Ravi Shanker: Just a couple of questions on the competitive capacity here. Obviously, you guys are being pretty disciplined right now with flat growth next quarter. But what's the rest of the industry potentially fills in for the capacity that's coming out here and we end up in roughly the same situation that we had before?
Barry Biffle: I don't think that's likely. Thanks for the question. Look, the capacity that's coming out right now is some of the lowest cost capacity and some of the lowest yielding customers. The only ones that could actually profit off that is actually us. So, I just don't see that being replaced by big airlines. It's not their business.
Ravi Shanker: Understood. Maybe a quick follow-up. Kind of how long do you think the tailwind here lasts? And is this something that is really strong out of the gate kind of given the disruption? Or do you think it gets kind of better, if you will, from your perspective, the long way it goes on?
Barry Biffle: Well, I wish I knew the answer to the pace of that. I mean it's dribbling pretty good tailwind right now. Could that tailwind go from 30 miles an hour to 100 miles an hour? Possibly it increases, but we see a lot of tailwinds over the next year. At some point, it's going to change. But right now, we see a pretty good path to a very good environment for Frontier.
Operator: Our next question comes from Atul Maheswari of UBS.
Atul Maheswari: I have a question on the government shutdown. There's just recent news that if a deal is not reached by November 7, we're looking at 10% cuts across the top 40 airports. If that were to come to pass, what would be the financial impact on Frontier? Presumably, this is good for RASM for the fourth quarter, but then you would end up carrying excess costs. So maybe can you help us dimensionalize relative to your current guidance, like how much of an incremental risk this would be?
Barry Biffle: We -- listen, we've heard about this in the last 20 minutes just like you did. My knee-jerk reaction is we need to figure out how to make sure we can accommodate all of our customers. I guess the good news here is that we're in a low demand period of November. I mean the high demand, obviously, is Thanksgiving. So, I think we'll be able to accommodate everyone. And so I would actually expect on balance, this is probably a positive just simply because of the RASM that we're going to generate on less flights. But I think that the customer disruption is more my larger concern. But I don't see this being a major impact to us.
Atul Maheswari: Okay. Got it. That's fair. And then as my follow-up, Boeing recently announced that is expecting certification to MAX 10 next year and with some aircraft in inventory that it already has that is ready to be delivered upon certification. So, assuming this does come to pass and this happens in '26 and the legacies get hold of this aircraft, they're likely to use this higher gauge asset to expand the basic economy type of offering, which directly competes with the product that you have in the marketplace. So, the question then is how much of a risk does this present to Frontier next year and beyond? And what would you do to counter this risk going forward?
Barry Biffle: I think the main risk is probably anyone holding the residual value of a 737-100. I don't think it's a challenge to us. I think if you look at the situation, we see less capacity in our markets, not more. And I don't see basic economy improving. I mean just think about that relatively definite math. It doesn't improve your margins to expand basic economy selling product below your cost. So, I don't think that's going to be a major opportunity. You've seen across the industry, domestic profits have been under pressure. So, I think that I think cooler heads are going to prevail on capacity over the next year. This may enable them to be more efficient, but I think you actually see the lesser efficient aircraft leave the United States.
Operator: Our next question comes from Brandon Oglenski of Barclays.
Brandon Oglenski: Comrades. Good afternoon and thanks for taking the question from the people of comm union of New York. Barry, well, there is going to be free bus travel here. So, I don't know that might be a competitive mode looking forward. But Barry, in all seriousness, can you talk to how Spirit cutting in November has maybe changed the pricing dynamic here closer in on the fourth quarter? Because I suspect that they were pretty close in booked to begin with.
Barry Biffle: Yes. I think, look, I mean, look, we were really excited, I would say, 2 months ago when things started changing over there, and we started seeing some book away. And then you got to, I guess, probably second week of September. And unfortunately, what we believe is their book away caused them to drop their fares dramatically. And so we saw a significant drop to fares that had been improving, by the way. I mean, on our last call, we were staring at advanced yields going up considerably year-over-year and then they went down. Now we're getting into a better phase. So, the fares are now restoring. It did do damage to September and again to October. But we're getting into the capacity cut phase. And I think this will give a sugar high to them for RASM, right, because they would consolidate flights. But it's starting to show up and be meaningful to us. And I don't think it's going to benefit this quarter that much. But like this morning, we just -- we haven't had a chance to flow it through, but they pulled out of another 5 cities. So, I expect that this continues to improve, and we think it's pretty meaningful. Where they have cut, we've seen high single digits plus RASM improvements where they're cutting. So this is going to continue. I think this is going to be really meaningful for Frontier.
Brandon Oglenski: Okay. I appreciate that response. And you guys talked a lot about loyalty on this call. I mean can you give us your initial impact from Southwest maybe recently? And more importantly, especially as you look to launch First Class, like are you seeing more momentum on that angle?
Barry Biffle: Yes. So, look, I mean, we haven't gotten the benefit of First Class yet, but we'll work backwards from your question, and Jimmy or Bobby can chime in. But First Class is going to be wildly accretive, right, because we haven't had that product, and we know the demand is there. So that's going to be worth several points next year. But I think if you look at the loyalty, there's no real benefit, I don't think necessarily from Southwest. It's mainly all the investments we've made over the last year. I don't know, Bobby, if you want to kind of add to that?
Robert "Bobby" Schroeter: Yes. This is Bobby. So, we talked about what we added quite a bit in terms of benefits that we've had over the past really 1.5 years, 2 years, a lot of that actually kind of building up to this past year as well as we transformed what we're providing some of the elite tiers, the accessibility we're providing that. So, look, in the end, we've created a program that is the most rewarding in the sky. And it is something where people can get to these elite tiers much faster than you see with other airlines. They actually are getting those benefits where it might be more difficult to see those at other airlines as well. We've talked before, you get a much higher conversion rate on seat upgrades at 80% on our top tiers. They're getting 80% upgrades to our top premium seat upgrade there. So, they're also getting free bagged, and we've added free companions on not only the higher elite tiers, but also that's unlimited companion travel, but also on the credit card, you're getting companion passes as you spend and hit certain milestones. So, just a lot that we've put into this, and you're seeing the engagement there. Look, you have a lot of people out there that are disenfranchised with their other programs, whether those are airlines or other types of travel programs or other credit cards. We're providing an incredible value there, and you're seeing people not only engage in terms of acquisition, but also spend. I mean spend was up tremendously year-over-year because people are wanting to move up that ladder in terms of elite status because they see the benefits that they're getting.
Barry Biffle: And I would just add, I mean, and Brandon, you're old enough to remember, I mean, the Starwood program in the 2000s was just amazing, and they kind of used their costs and so forth to build that loyalty and that credit card was one of the -- consistently one of the top-ranked cards. And now that we've kind of got it underway, we sat down 1.5 years, 2 years ago and said, we've got the lowest cost. We should be able to provide the most value and loyalty. And so, we have made methodical changes over the last year, 1.5 years, as Bobby mentioned, and now we're starting to see the benefits of that. And it's early. But when you see 40% jump to the loyalty ecosystem year-over-year, we're on a track. And so, we're doing in the $7, $7.5 range, and we can see that doubling in pretty short order. So, we're pretty excited about it. I think it's one of the key pillars to getting back to sustainable margins, but it's a big part of what we're doing. And the savings that people get are real like I mean it's thousands of dollars a year that you can save if you use this card. And to Bobby's point, when he mentioned kind of the disenfranchise, what we're seeing is the customer that just flies a couple of times a year on one of the big airlines, they don't have the actual tier that they need to get really upgraded. They're #36 on the upgrade list. They never get upgraded. And so, when they take that spend and put it on our card, they actually get rewarded with real loyalty. They get real upgrades, and that upgrade is not going to be upfront plus next year, it's going to be first class. So – so, I think that we've just started. We're kind of in the first inning or 2, but we are going to close the gap on loyalty revenues with the big guys, and this is going to be a material part of our discussions, I think, in the quarters to come.
Robert "Bobby" Schroeter: Yes. And just on the -- just a quick add to on First Class. I mean, obviously, we're going to be selling that, and we anticipate a variety of the income coming from just people buying it outright. But that is a product that, again, those disenfranchised customers with other programs have the opportunity to get upgraded to that they would never see. And with us, they will be able to see that at a much lower rate. Therefore, they'll get it faster. So, we're excited about that.
Brandon Oglenski: And #36 on the upgrade sounds good to me. I'm usually way behind that.
Operator: Our next question comes from Savi Syth of Raymond James.
Unknown Analyst: This is Carter on for Savi. I was wondering what you guys are seeing on pricing in your Spirit overlap markets relative to your other markets more broadly? And are you seeing anything different in Fort Lauderdale where you guys most recently added service?
Barry Biffle: Look, I mean, I think I mentioned this a while ago, we saw pricing go down after they filed. We've seen that kind of recover now. And we've seen our pricing obviously go up in those markets. So, I wouldn't say it's over, but -- and then obviously, they're trimming capacity and pulling out, so there is no more pricing in some of those. So, I think it's stabilized.
Unknown Analyst: Got it. And then just for my follow-up, I want to clarify, does your earlier comment about returning to growth in 2026 mean you're no longer planning on having flattish capacity through the first half of '26? Or is that more of just a comment of returning to growth in the back half?
Barry Biffle: It's a very dynamic situation right now. I mean we're watching the competitive situation. And based on how that plays out, we have the ability to flex up or down. But we believe there will be opportunities for us in our cost structure to kind of replace that capacity in several places. And if so, that will dictate growth. But it's -- we'll update everybody by Q1 in our next call because I think most of this -- we believe most of this should be sorted out by then.
Operator: Our next question comes from Michael Linenberg of Deutsche Bank.
Shannon Doherty: This is Shannon Doherty on for Mike. Barry, earlier this year, we were talking about double-digit margins by the summer of '25. Obviously, Liberation Day threw a monkey wrench into that plan. But do you see a path back to double-digit margins in '26 with the current competitive landscape? And if so, can you help us bridge just there from today?
Barry Biffle: Well, look, I mean, we didn't plan on all of the things that happened in the turmoil in the front half of this year and what has happened. But I can tell you that as far as our pillars of kind of path back to sustainable profitability, look, I think doubling our loyalty revenues from where it is, introducing first class, getting that premium, getting kind of our fair share of that premium as well as the fair share of loyalty. I think the competitive capacity reduction, as we've talked about, I mean, that's going to be a huge tailwind for us going into next year. And then we're going to double down on our costs. I know everybody kind of accepts the inflation, but we're going to double down. We hope to have all that ready to lay out at the next call. But you're going to see kind of another wave of us kind of pushing further down on cost to ensure that we maintain a wide margin of cost advantage versus the industry. And we're going to continue to improve our operation. Our complaints are down dramatically year-over-year. We continue to be kind of 30%, 40% down every month year-over-year in complaints, and that's kind of tied to what's happened with our improvement in the operations. So, I'm not going to declare the day we're going to get back to any margin target, but I can tell you that there's plenty of fundamentals that are in our favor at this point.
Shannon Doherty: And maybe a follow-up on like thinking our growth for next year. Will Spirit cutting deeper than 20% next year, maybe a lot more be the determining factor of unlocking growth again? I mean, clearly, you are carrying a lot of extra costs, taking down aircraft utilization and you want to get back to growth. So, I'm just trying to figure out what gets you there.
James Dempsey: Yes, Shannon, it's Jimmy here. Look, we're watching what's happening in terms of network deployment across the industry, including Spirit at the moment. And there are certainly opportunities that are existing. You've seen us launch some stuff across the United States in the last couple of months that fill in for some capacity that we think is going to be adjusted in their network. Whether that drives material growth next year or not, we don't know. We've got to see how things develop in the next 2 or 3 months. Hence, we're kind of deferring to the next earnings call to give you an insight into our growth. But clearly, we have a substantial body of aircraft that we can deploy to infill for any disruptive capacity that comes out of the marketplace in the next couple of months. And so, we're positioned for that. As I said in the last earnings call, it does take time from a growth perspective to hire and train pilots and get them deployed in our network. And that's typically a 6- to 8-month process. And so, any meaningful growth will occur sometime Q2 or Q3 or Q4 next year, depending on our view over the next couple of months and what we want to do in terms of growing the airline into opportunities that crop up.
Operator: Our next question comes from Duane Pfennigwerth of Evercore ISI.
Duane Pfennigwerth: Just one question for me for the team. How has your thinking about consolidation of the ULCC sector evolved or changed over the last 90 days?
Barry Biffle: Good to hear from you, Duane. I don't know that it's changed. I think we're going to see -- and I've said this before, I think you're going to see less capacity in the United States. And I don't know if that's a U.S. ULCC thing. I think it's just a domestic capacity thing. And I think it will be far beyond just the ULCC space. I think you're going to see a lot less seats. Consolidation is one of the mechanisms to help facilitate that, but it's not the only way to get there. But I do think there'll be less seats. There's another carrier that is not a ULCC that we suspect is going to shrink a considerable amount over the next year. So, I think a seat is a seat and the more that go out, it's probably constructive to the supply and demand balance as we move into '26.
Operator: Our next question comes from Scott Group of Wolfe Research.
Ryan Capozzi: This is Ryan Capozzi on for Scott. So, aircraft utilization has been down pretty significantly so far this year. Just curious how we should think about utilization levels into 4Q and really more so into next year?
Barry Biffle: Yes. I mean from a utilization standpoint, I mean, I think to Jimmy's point, when you look at the lead time that's needed to ramp that up, I mean, from the environment that we sit in today, the overall macro environment, I think you'll see consistency and where we've been Q3 to Q4 from a utilization standpoint. But then as both Jimmy and Barry have mentioned, as you look into '26, we need to evaluate what that landscape looks like and how we want to move forward with utilization. Obviously, the higher you're able to drive that, that brings down unit cost. So, there's positive there, but you just need to balance that with the larger macro.
James Dempsey: Yes. And just to give a little context, we have -- there's 2 things going on with the fleet. One is you have a delivery order book that can provide growth, and then you can also utilize your assets more. And what we've been doing in the last 8 to 9 months is reducing some utilization on the asset base. What you're likely to see as you progress through next year is growth more on peak days and off-peak days through new aircraft deliveries, which is healthy growth coming into the business. Whether we choose to do higher utilization or not, that's something that we have to consider going into next year to see where the competitive capacity environment looks.
Ryan Capozzi: Got it. Appreciate the color there. And then I guess on competitive capacity, I think you had mentioned 2 percentage points of improvement in 4Q. Any sense of what level of reductions you're expecting in 1Q here?
James Dempsey: Look, we haven't quantified the level of reductions that we expect. As people solidify their schedules going into Q1, we'll have more of an insight into that in the coming month or 2.
Operator: Our next question comes from Jamie Baker of JPMorgan Securities.
James Kirby: This is James on for Jamie. A lot of questions about domestic capacity. Maybe just a question on the international routes you guys announced and what you're seeing there, particularly how RASM is trending into 4Q and 2026?
Barry Biffle: Yes. I mean -- so just you're talking about the fourth quarter starts. We've been seeing some pretty good results happy with the new routes, specifically, as you brought up within the Latin America kind of VFR or Latin VFR routes that are launching sort of in the holiday, Christmas, three Kings peak period. So pretty excited about the results that we've been seeing so far.
James Kirby: Okay. Got it. And then for my second question, we're seeing smaller regional airlines enter the market? I'm just in the past few years, are you seeing any -- particularly in the routes that Spirit exited, are you seeing any of those airlines come in to fill that capacity that you're now competing with?
Barry Biffle: No, we're not really seeing that. I mean, look, I think the landscape has become pretty clear. I mean Frontier has been the one to outplay and out last. And so, I don't think that -- I don't see a new entrant trying to come in on some of the things that we're doing.
Operator: Our next question comes from Tom Fitzgerald of TD Cowen.
Thomas Fitzgerald: I'm curious on the loyalty program, if you're -- where you're seeing the most strength in sign-ups and whether it's just kind of any place where you have a base or a decent enough schedule density of those particular markets that stand out?
Barry Biffle: Yes. Look, it's obviously where we have bases. We've got 13 bases and then we've got large concentrations, right, in other cities, Raleigh, Baltimore, New York and so forth. But I mean, it's where you would expect. I mean customers, you've got to be able to earn it when you fly and you've got to be able to use it. So, it kind of fits our geography. But I think the big thing that's changed, I mean, obviously, to see this kind of growth when we're not actually growing the airline right now is actually really impressive.
James Dempsey: Yes, I mean, to echo what Barry said, you're going to see it where there's relevance on both the network and the program and where you can -- you're looking for aspirational opportunities where you can go and then, frankly, the benefits you can get from that. And we're hitting on all those things.
Thomas Fitzgerald: That's really helpful. And then just curious on first-class seating as you kind of just keep going up market. Is there a -- do you assume any like time for that -- those products to mature in the market? Or do you think it hits right away? And I'm wondering if there's any like kind of if you're upgrading a lot at the beginning to kind of entice people to get them familiar with the product if then it shows up in the revenue, but if it's a lot of it's upgrades or if there's like a noncash component.
Barry Biffle: Yes, thanks. So look, I mean, we're not expecting it to go to full maturity. That could take honestly, years. I mean -- but you're going to see an immediate benefit in the product moving to first from just having Upfront Plus. It took us about a year for Upfront Plus. At first, a lot of people got it for free and so forth. And our top Elites will get upgraded into it, which is what helps kind of feed the loyalty asset ecosystem. But you're going to mature as more people figure it out. I mean, at the end of the day, we've observed in the United States a huge change in the appetite for leisure customers to pay for first class seats. And we believe that given our cost structure, we can deliver a first-class seat cheaper than anyone. And so we're going to obviously benefit from not only having a premium product, but it's going to be priced at a level that you won't see for the big guys. So, I mean, I wouldn't be surprised that we're going to be priced under a premium economy seat in many cases. But yet for us, that could double the revenue we're getting per passenger. So, it's great for us, and I think it's going to be great for consumers, but it could take 1 to 3 years to get -- reach full maturity. But it will be huge. I think it's going to be huge, not just for our kind of our revenue on board, but also in the credit card because at the end of the day, I mean, that frustration about people getting upgraded at the big airlines, you're going to get real value with Frontier with that product, but it will take time.
Operator: Our next question comes from Daniel McKenzie of Seaport Global.
Daniel McKenzie: I just have 2 house cleaning questions and then one other question just following up on Duane's. But the house cleaning questions, it looks like full-time equivalents are down 6% year-over-year, but unit labor costs are up 10%. So I'm just wondering if you can square that dynamic. And I guess what I'm really wondering here is if it's just the beginning of sort of unit cost derisking for future labor deals. And then the second housecleaning question is, what percent of the network you expect will be premiumized, so to speak, by year-end '26?
Barry Biffle: Well, there are several things going on, on the salary wage and benefits. I mean we, we stopped hiring flight attendants and what happens when you're looking at in your numbers, we actually were largely kind of rightsized, I guess, on the flight attendants, but we carried a lot -- hundreds and hundreds of extra pilots. So, I think it's a little -- I think that's just a mathematical nuance. As we get back to hiring flight attendants as an example, I think you'll see the numerator and denominator change. And I'm sorry, what was the second question?
Daniel McKenzie: Just the percent of the network that will be premiumized by year-end '26.
Barry Biffle: Okay. Well, 100% of the fleet will actually have the first class product. And look, it's 8 seats. We've got 202, give or take. I mean, it's going to be 4% of your seats. So, it's pretty rough -- it's pretty simple math, right? If you take 4% of your seats and we end up getting paid close to double what we were getting on the others, once this is rolling out, this is a material jump in your RASM.
Daniel McKenzie: Yes. Second question here, just following up on Duane's question. Some of Spirit's creditors are pushing their management team for a merger and Frontier is the most -- one of the most logical airlines, of course. And I guess just to kind of push on that a little bit further is, has that ship sailed as far as Frontier is concerned, just given the network overlap? Or is that -- I guess my question really is if that were to become a possibility at some point in the future, is that network overlap manageable, say, with carve-outs or givebacks?
Barry Biffle: I'm not going to comment on merger. We spent a lot of time on this in the past. I've spoken about it a lot. We're not going to comment on I'll go back to, we see significant opportunity for Frontier focusing on our business and what we see is pretty significant tailwinds to our business due to competitive capacity. And we don't see that changing. We've not seen anything that's going to change that opinion. And again, every day, it seems to get better for us. I mean they just closed another 5 cities or announced closing another 5 cities today, including like Phoenix, St. Louis, Milwaukee. So, these are all key cities for Frontier. So, we see pretty good upside, but we're not talking about a merger.
Operator: Our next question comes from Christopher Stathoulopoulos of SIG.
Christopher Stathoulopoulos: Barry, I wanted to ask for an update on the revenue initiatives because there's a lot going on here. I heard [ $715 ] per passenger in the third quarter. But the comment you made 2 questions ago, I think it was first class priced. I think you gave a price point or you quantified a certain percentage below a basic economy seat or what I took to be an entry-level product versus, I'm assuming network peers.
Barry Biffle: I said premium economy on one of the big airlines, not basic.
Christopher Stathoulopoulos: Okay. Okay. Maybe -- I think that's an interesting point. If you could speak to is that in select markets? And I think you said that that's going to take 2 to 3 years to mature. I think that's an important point and one that I hope you could give some more color.
Barry Biffle: Look, I think we'll get somewhere between 60% to 80% of the benefit within the first year, right? I think for it to fully mature, it will take you a few years. But it will be additive incremental -- it will be positive ROI within months. I mean -- and so -- and when you think about the pricing, I'll just go back to the pricing. I mean, if you look where we fly today, it's not uncommon for us to have a $49 fare and maybe the legacies have got a $69, $79 basic economy, but then they're $400 or $500 for first class. And so I think you could see us easily being in that $200 to $250 range for first class. And it's going to be a smacking deal for anybody that wants to fly first class, but it's going to be a huge improvement. I mean we're going to take 4 seats off the plane that were actually the lowest fares that we were selling, and they're now going to become the highest fares we're selling. That's a huge move on your RASM when you do something like that. So this will be a massive improvement to us. But we -- I mean, look, the pricing is going to be dynamic by route, by day and depending upon the situation.
Christopher Stathoulopoulos: Okay. Great. And the comment on the down to competitive capacity for the fourth quarter, I'm guessing that's your system or select routes. And then if there are any markets where you're seeing, I guess, better or worse in so far as additions or deletions from competitors?
Barry Biffle: Yes. I mean there's a number of routes where -- I mean, Jimmy spoke about this in his prepared remarks. But Jimmy, I don't know if you want to remind them of the numbers there.
James Dempsey: Yes, we've seen a significant change in 2 areas. One is where they've exited markets. And so we've seen them exit about 36 routes that overlap with us. And we've also seen a significant reduction in frequencies, about 30% across 41 other markets. So, it's a considerable change in overlap capacity between us and Spirit. And it's across the system in a lot of cases. But the predominance particularly in the West.
Operator: I am showing no further questions at this time. I would now like to turn it back to the Chief Executive Officer, Barry Biffle, for closing remarks.
Barry Biffle: I want to thank everybody for calling in. We're really excited about the future and things have really kind of turned around from a foundational perspective. So I look forward to updating you again and talking to you again in the new year.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.